Operator: Thank you for standing by. My name is Carly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ranpak Holdings Q3 Earnings Call. [Operator Instructions] I will now turn the call over to Sara Horvath, General Counsel. Please go ahead.
Sara Horvath: Thank you, and good morning, everyone. Before we begin, I'd like to remind you that we will discuss forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our Form 10-K and our other filings filed with the SEC. Some of the statements and responses to your questions in this conference call may include forward-looking statements that are subject to future events and uncertainties that could cause our actual results to differ materially from these statements. Ranpak assumes no obligation and does not intend to update any such forward-looking statements. You should not place undue reliance on these forward-looking statements, all of which speak to the company only as of today. The earnings release we issued this morning and the presentation for today's call are posted on the Investor Relations section of our website. A copy of the release has been included in the Form 8-K that we submitted to the SEC before this call. We will also make a replay of this conference call available via webcast on the company website. For financial information that is presented on a non-GAAP basis, we have included reconciliations to the comparable GAAP information. Please refer to the table and slide presentation accompanying today's earnings release. Lastly, we'll be filing our 10-Q with the SEC for the period ending September 30, 2025. The 10-Q will be available through the SEC or on the Investor Relations section of our website. With me today, I have Omar Asali, our Chairman and CEO; and Bill Drew, our CFO. Omar will summarize our third quarter results and discuss our outlook, and Bill will provide additional detail on the financial results before we open up the call for questions. With that, I'll turn the call over to Omar.
Omar Asali: Thank you, Sara, and good morning, everyone. Thank you for joining us today. I wanted to start today by discussing our third quarter announcement that we entered into a strategic and economic partnership with Walmart. This agreement has been years in the making and required the hard work and execution of many of our Ranpak team members. The Walmart agreement is a transformational deal for Ranpak and Ranpak Automation in particular. I'm extremely proud of the team and the solutions we have built in automation as those really drove the origination of this partnership. Our warrant agreement with Walmart can be summarized as a potential for up to $300 million in spend, excluding the cost of paper over 10 years, in exchange for warrants to purchase up to 22.5 million shares in Ranpak with a strike price of $6.83 per share. We expect that over $100 million of such potential spend would be allocated towards automation equipment and services with $200 million of such potential spend focused on PPS products. Given the requirements for vesting exclude the cost of paper, this implies roughly $600 million in potential reported spend in PPS products over the 10-year period for a total potential spend of roughly $700 million across all of our products. This is an extremely exciting transaction for us at Ranpak, and I believe cements our place as a true leader in warehouse automation. Adding to the momentum in automation, we are pleased to share that we have entered into a multiyear enterprise sales agreement with Medline, the largest provider of medical surgical products and supply chain solutions serving all points of care to provide them with our Decision Tower and right-sizing solutions for up to 14 of their distribution centers over the next several years. As the world's largest user of AutoStore robotic technology, Medline is on the cutting-edge of implementing warehouse automation solutions. We are thrilled to collaborate with them to unlock further value in their supply chain by pairing our end-of-line packaging automation solutions with their storage and retrieval investments so they can maximize throughput in their facilities by picking goods quickly and optimizing shipping volume and customer experience for outbound shipments. The amount of rigor required to satisfy customers of this caliber is tremendous, and our team is executing. We've made substantial investments in the team and solutions over the past years, and it is now paying off. We have marquee automation deals in North America with our 2 key workhorse products in the Cut'it! as it relates to Medline and Autofill for Walmart. The Walmart deal, in particular, highlights how powerful having the best-in-class automation solutions can be in driving growth opportunities in protective. When I first got to Ranpak, the assumption from most was that automation would detract from protective and that it was a hedge for that business. What we are actually seeing is that they work extremely well together and forge deeper relationships than either business could ever achieve on its own. In 2025, we have now partnered and economically aligned ourselves with 2 of the most demanding and sophisticated customers in the world, in Amazon and Walmart, and have the potential to generate well over $1 billion in revenue from these 2 customers alone over the next 8 to 10 years. I can't think of many companies that can say that, and I believe it is a testament to the solutions and talent we have assembled at Ranpak. Five years ago, this would not have been a possibility at our company. Now, onto the quarter. Consolidated net revenue increased 4.4% and would have increased 5.3%, excluding the non-cash impact of warrants on a constant currency basis for the quarter. Enterprise accounts in North America as well as global automation continue to be the main top line growth engines in 2025. Our volume momentum in North America continued in the quarter with large accounts driving 3.7% volume growth against a solid third quarter in the prior year. In Europe and in Asia Pacific, volumes were down 2.5 points versus last year as a more challenging operating environment weighed on top line results. Overall, consolidated volumes were down 30 basis points versus prior year. Automation increased 56% on a constant currency basis in the quarter versus last year, keeping us on track to achieve our expected full year automation revenue of $40 million to $45 million. Automation continues to gain traction globally as we believe we are winning more than our fair share in box customization and are beginning to ramp up with Walmart in North America with our Autofill solution. We believe our solution set of box customization, automated dunnage insertion, robotic pad insertion, data and analytics and partnerships with cutting-edge AI players such as Pickle and R2 are a clear differentiator in the market and driving adoption of our solutions. North America was a key driver of top line performance with sales up 10.9%, driven by an increase in volume and an increase in automation revenue of 140% over Q3 of last year. Enterprise accounts drove solid growth, while the distribution channel improved somewhat relative to the softer Q2 that was impacted by trade and tariff uncertainty. The team continues to drive closes and focus on solution selling, highlighting our breadth as a key differentiator. Underlying demand has been really strong in void-fill throughout the year in North America with each quarter up double digits. Wrapping had solid contribution in the quarter, up mid-single digits after a softer Q2. Cushioning was the only area in North America that was down year-over-year, driven by softer July. August and September cushioning revenue increased nicely, and we are expecting cushioning to get a boost from our new launches within our Guardian product line that provides us with smaller footprint and lower cost alternatives to foam in place. Although the launch is very new, the momentum we are seeing is one of the best I've seen from our new product introductions. I think there's a large opportunity in the next number of years to meaningfully grow our cushioning business in North America and Europe with these new products. This will not only boost growth, but provide favorable mix as cushioning has a better margin profile relative to void-fill, given it's a robust solution that requires more engineering and know-how to effectively make cushioning pads capable of shipping heavier industrial-grade items. Innovation in PPS will remain a key area of focus for us as we look to expand globally and take further share from plastic and foam. We feel very good about the outlook for North America PPS, where we expect our growth will be anchored by Amazon and Walmart in the upcoming years and supplemented by continued innovation. While its origins are in automation, we expect the Walmart agreement to drive growth in PPS over the upcoming years as each Autofill unit placed is expected to consume over $100,000 of paper per year, which we believe should lead to a solid recurring revenue stream. We also expect to expand our PPS relationships beyond the void-fill associated with the Autofill in order to help Walmart maximize the vesting of their warrants. In Europe, industrial activity continues to weigh on cushioning, which was the driver of volume challenges in the quarter as void-fill and wrapping combined were close to flat year-over-year. The environment seems to be stable at this point and offering some glimpses of improvement as trade tensions settle, but it's choppy, nonetheless. In Europe, we are very focused on what is within our control and driving outcomes through better execution. Europe is our most profitable region, so we are taking a number of steps to drive volume growth. We've put in new sales leadership and are hiring key talent to target larger accounts and focus on total solution selling. This will better position us to drive growth through cross-selling opportunities amongst PPS and automation solutions and develop sticky relationships with some of the largest end users in Europe. Asia Pacific production continues to ramp up, and the team is doing a good job of driving growth in the region, which has been offset somewhat this year due to destocking activity as we ramp up local production of product lines. We continue to view Asia Pacific as a really important part of our growth story in the upcoming years as having locally-sourced paper and production will enable us to be a lot more competitive in the region. We have just qualified our first local paper vendor, which is really exciting. We are looking forward to ramping up production there and produce more for the region locally than in Europe. Given it's an entirely new team there, we have gone slowly and methodically to ramp up production. As expected, we saw some sequential improvement in profitability as our margin enhancement initiatives began to have an impact throughout the quarter, driving an increase in gross margins to 34.5% compared to 31.3% in Q2. On a constant currency basis, adjusted EBITDA increased 3.5% for the quarter or 7.6%, excluding $0.8 million non-cash foreign impact. The input cost environment remains similar to our update last quarter. In the U.S., pricing has been flat since increasing earlier in the year, and we expect it to remain that way through the remainder of the year. In Europe, the energy markets remains favorable with Dutch nat-gas in the low 30s. We expect paper pricing for the fourth quarter to be in line with Q3 and helping to maintain our attractive margin profile in the region. To summarize, our priorities remain what we shared last quarter, improve margin in North America, drive volumes in Europe, scale automation and generate cash. We believe all of these things will contribute to a far improved financial profile and enable us to delever to 2.5x target that we have. We want our capital structure to not be a topic of discussion and are committed to delevering. We're executing on a plan to do all these with some early successes in key areas. With that, here is Bill with more info on the quarter.
William Drew: Thank you, Omar. In the deck, you'll see a summary of some of our key performance indicators. We'll also be filing our 10-Q, which provides further information on Ranpak's operating results. Overall, net revenue for the company in the third quarter increased 4.4% year-over-year on a constant currency basis, driven by solid volume growth in North America and an increase in automation revenue, offset by a somewhat sluggish environment in Europe and destocking in APAC. For the quarter, in the Europe and APAC reporting segment, combined revenue decreased 0.6% on a constant currency basis, driven by 2.5% PPS volume headwinds, offset somewhat by price/mix and 34.5% growth in automation revenue. Our reported results benefited from 6.4 points of currency as the euro has meaningfully appreciated since the start of the year. In North America, both PPS and automation increased year-over-year, driven by large e-commerce accounts. Automation increased $2.1 million or 140% and void-fill and wrapping each contributed positively to growth, resulting in regional revenue growth of 10.9%, net of $0.8 million warrant expense, which detracted 1.7 points from reported NOAM results. Gross profit declined 3.8% in the quarter on a constant currency basis and would have declined 1.5%, excluding the $0.8 million non-cash impact of warrants. Excluding depreciation within COGS, gross profit increased 3.2% on a constant currency basis due to higher sales and improved margins in both NOAM and EMEA. Higher gross profit ex depreciation from both geographies drove an increase in adjusted EBITDA of 3.5% in the quarter on a constant currency basis or 7.5% excluding the $0.8 million noncash impact of warrants. We continue to keep a tight lid on our spending and are laser-focused on our margin enhancement initiatives to drive growth in adjusted EBITDA and enhance our cash position with the ultimate goal of deleveraging to 2.5x. Moving to the balance sheet and liquidity. We completed the third quarter with a strong liquidity position. We had a cash balance of $49.9 million and no drawings on our revolving credit facility, bringing our reported net leverage to 4.4x on an LTM basis and 3.8x according to our bank leverage ratio. As expected, we reduced our inventory somewhat in the quarter, although it remains elevated due to our entering into peak season, given last year, we wanted to ensure we had adequate supply to satisfy customer demand and insulate ourselves from any potential disruptions. We expect to reduce inventory further in Q4 and turn that working capital into cash. We expect to build cash for the remainder of the year given the seasonality of the business and improvements we will make on our cash conversion cycle. Overall, we are expecting to end the year with approximately $65 million to $70 million in cash on the balance sheet. This is down somewhat compared to last quarter due to a lower sales environment in Europe in Q3 and expectations for Q4 compared to where we expected to be at the end of July. Our CapEx for the quarter was $7.8 million, in line with our expectations, of which $6.4 million related to PPS converter spend. Capital expenditures are the area most directly impacted by the evolving tariff landscape. Our strategic sourcing work related to options for converters globally continues. We are encouraged by the progress there and are vetting options for alternatives to sourcing in China. We continue to focus our efforts on minimizing impact on CapEx through a greater focus on refabrication and refurbishment of older converters in the field. To reiterate from last quarter, while the environment around us is obviously uncertain from a paper sourcing perspective, we expect minimal impact as we source locally in our production areas. One final area to mention is that you continue to see warrant expense impacting our P&L. In the short term, these will have a meaningful impact on our P&L. But as we hopefully ramp our business with Amazon and Walmart, the impact will be far less pronounced on the comparisons. Again, these are all non-cash impacts, but they will be added back in statement of cash flows. But for reporting purposes, we must treat the warrants as a reduction in revenue, which flows throughout the P&L, dollar-for-dollar. This results in a 0.5 point impact on gross margin and a 0.6 point impact on EBITDA margin. With that, I'll turn it to Omar.
Omar Asali: Thank you, Bill. While it has been a challenging start to the year, I'm pleased we demonstrated meaningful progress on our margin enhancement initiatives this quarter, and I'm looking forward to further improvements going forward. As we think about the finish of the year, we feel very good about continued growth in automation and achieving $40 million to $45 million in revenue for 2025, net of warrant expense. The momentum in automation is building, and I believe we have something special in that business. In North America, the PPS business continues to perform well, driven by our larger customers, and I believe we will have a strong holiday season based on the feedback I'm hearing from the team and our customers. Our margin enhancement initiatives are well underway and having an impact. I believe a lot of the noise and disruption from the beginning of the year is well behind us. Europe and Asia Pacific have been a bit more volatile as volumes have been up and down from 1 month to another. Asia Pacific has some air pockets of destocking as lead times for products that we are producing there go from 5 months to 1 to 2. That being said, our distribution channel in both reporting regions is getting invigorated by our new products in cushioning, void-fill and wrapping. Our innovation is broad-based and that is energizing our partners as well as attracting talented personnel to join the Ranpak team. I have been out meeting with our distribution partners in North America and Europe, and the message is consistent. They all want to grow with Ranpak. I feel very strongly that we're on the right path and building momentum with customers and the market. Based on the environment in Europe and Asia Pacific, we are expecting to come in at the low end of the second half revenue guide of $216 million to $230 million and expect profitability to be robust to achieve the lower end of the second half adjusted EBITDA guide of $44.5 million to $54.5 million. Our milestones achieved in 2025 and everything that has led to it has laid a strong foundation of growth and expansion in the years to come. We believe we have the right personnel and structure in place to meaningfully scale this business and that the investments we have made in systems and people are starting to show up across the board. I see tremendous opportunity to enhance our margin profile and gain efficiencies through our internal processes and by working with our vendors who want to grow alongside us. Externally, I see substantial growth opportunities in protective, automation and cold-chain. The strategic and warrant agreements we signed are having the desired effect of deepening our relationships and providing the opportunity to get into additional products and geographies with these key players. We have an excellent platform for growth and the opportunity to build the leader in industrial automation technology. Physical AI and Machine Vision is driving the next phase of industrial automation, and I believe we have the solutions and access to data that others dream of. The target I'm setting for the team is to get -- to grow to $800 million in revenue organically within the next 5 years and to have automation be at least 15% of that total revenue. I believe we can achieve that with our current offerings and what we have currently in development and our new products. At this point, we'd like to open it up for questions. Operator?
Operator: [Operator Instructions] Your first question comes from Greg Palm with Craig-Hallum.
Greg Palm: Omar, going back to the guide, just wanted to make sure I understand all the kind of the puts and takes. So, it sounds like relative to the last update, really no change in automation, no change in North America, a little bit of a slowdown or weaker results in kind of Europe and APAC. Is that right? Anything else that you want to point out? I just wanted to make sure I understood all that.
Omar Asali: No, you got it right. I think we continue to feel excellent about automation globally, by the way. In North America, we continue to see very robust volumes, including up to now. Europe and Asia Pacific are a little bit inconsistent. So, just to be clear, we will be within the guide. It's just given the inconsistency in those businesses, we expect to be on the lower end of the range. And that's the thing that we're monitoring. And honestly, Europe continues to start and showed some pattern of improvement. The hesitation we have around that, Greg, is things are changing fast in Europe, and we would like to see a trend continue over a longer period of time before we build our confidence on the business there. But that's basically the summary. You got it right in terms of the building blocks.
Greg Palm: Yes. Okay. And gross margin actually bounced back a lot more, I guess, more quickly as well relative to what I would have thought. How much of sort of the full impact of both pricing and some of the cost reductions did you see in Q3? And I guess maybe a different way to ask it is, how much is still left to go in Q4?
Omar Asali: In pricing, obviously, given what we've done in North America, we saw a good positive impact in Q3. On the cost initiatives, margin improvement, continuous improvement, honestly, I see a lot more room there. We continue to execute. We're improving in our buying. We're improving in our logistics and freight. We've made some tangible moves. We have a plan over the next few months to continue doing that. We are also looking at our physical footprint and optimizing that. You may recall, we've hired a new Chief Operating Officer who joined us, who is working hard on some of these initiatives. So, I think on the cost initiatives, I'm expecting a lot more progress and to continue to drive gross margin on that front.
Greg Palm: Okay. Perfect. And then, just shifting gears to Walmart, obviously, a very important announcement. So, congrats there again. But can you give us just a sense on like how the ramp will progress over the time frame, $700 million spend, 10 years. I mean that implies a pretty significant annual contribution. I'm guessing it will be a lot less than that initially and then ramp more meaningfully over time, but maybe you can help us understand what that might look like based on what you know today?
Omar Asali: Sure. So, we are already in the ramp-up phase. There was some modest help in Q3. You will see more help in automation in Q4. And then we're expecting in '26 and beyond in the next few years to really ramp up quite a bit on the equipment side. I personally think that spend will occur in a period that's meaningfully shorter than 10 years given the dialogue I'm having with Walmart. I think you will see Walmart relatively quickly become probably the second largest customer we have, and there's quite a bit of room to grow in terms of their annual spend with us. So, I think we will see how '26 goes, Greg. And then, obviously, that will help us guide the upcoming sort of ramp-up. The key thing is, some of our projects are in their next-generation facilities. So, it's related to their build-out there. And you can see in public comments, Walmart is investing heavily in e-commerce, in DCs and in FC fulfillment, and we are the beneficiaries of that as they continue to invest in that area. So, I think you will see some impact in -- starting in Q4 and hopefully, much bigger impact in '26 and thereafter.
Greg Palm: Okay. Perfect. And then just lastly, your sort of longer-term targets that you put out, I want to make sure I heard it right. You said $800 million in revenue in 5 years, automation to contribute 15%, 1-5, of that. Is that right? And then do you have sort of an EBITDA margin target in mind if you're able to execute upon that?
Omar Asali: You have that right. So, these are the right numbers sort of in the next 5 years, and that is sort of our organic plan, if you will, where we think the businesses we have today, the new product introductions that we're working on, we think they can lead effectively to doubling the top line in the next 5 years to $800 million. You have it right on automation, where I believe, we can get to 15%, 1-5, out of that $800 million coming from automation. And honestly, the guidance I have for the team that we're working towards and you're seeing us making progress towards that, is we want to be in a business that has north of 25% EBITDA margin. So that's the longer-term goal.
Operator: [Operator Instructions] Your next question comes from Ghansham Panjabi with Baird.
Ghansham Panjabi: Just sort of building on the last question as it relates to 2025, I mean, obviously, a lot going on with the macroeconomic environment in Europe, U.S. and of course, your internal initiatives, et cetera. What is a reasonable baseline for volumes for 4Q? And how would that disaggregate between your 2 major regions?
William Drew: Ghansham, this is Bill. So, for 4Q, I think we're expecting fairly consistent with what you saw this quarter just based on what we're seeing out of Europe and then continued strength in North America. So, we continue to see the enterprise accounts drive solid volumes in North America. We do think we'll get more of a contribution from the distribution channel as well in North America, which should help to improve things and also contribute favorably to the margin. EMEA and APAC, given that the environment there remains a little bit more challenging and harder to call. So, we are expecting to be a little bit down there year-over-year and also taking into account some of the destocking in APAC. But overall, as we exit the year, we're looking to get back to growth in that area as well.
Ghansham Panjabi: Okay. And then, in terms of automation, clearly, this is -- or at least I think it's going to be more lumpy than perhaps your protective packaging business in terms of volumes. How do you think about -- how should we think about the comparison going into next year and how you're going to build off that pretty significant momentum that you're showing this year for different reasons, including your strategic partnerships?
Omar Asali: Ghansham, I think as you highlight, obviously, automation is about -- it's driven by the sale and then the deployment and installation of equipment. So, it's a little bit different than the consumable business we have in PPS. As I said, we feel very confident that we will hit the $40 million to $45 million this year, which will represent meaningful 40%, call it, 50% growth year-over-year. In the near term, honestly, Ghansham, we continue to see the trend of 50% plus growth in automation. And our confidence in that growth trajectory is increasing because, frankly, a bunch of it is with customers that we've signed, that we're deploying, that we're building the equipment and installing and it's agreeing with them on the deployment and installation schedule. And as I announced in the call, we have a large enterprise agreement now with Medline, it's very sophisticated in automation. We're very excited about helping them in a number of their DCs, and we're working on other deployments like that. So, this is a business where you can start building a backlog over time, Ghansham, and the confidence in the numbers is higher, but it's probably more a business where you should think about it in terms of annual deployments that you can do rather than quarter-by-quarter, which is how we're thinking about it. But the growth trajectory in the near term, I'm expecting it to be 50% plus in the top line.
Ghansham Panjabi: Got it. And just one final one as it relates to the momentum that you're seeing with these -- again, these partnerships, et cetera, including Medline. How is the weighting going to change between North America and the overseas market, especially Europe as we -- over the next 3 years, just given the asymmetric growth that you're seeing? Or is the growth yet to come in Europe and the weighting is going to be pretty much comparable as it is now?
Omar Asali: That's a great question, Ghansham, because obviously, recently and with enterprise accounts, we've seen bigger growth in North America, and we've seen some challenges in Europe. What I'm expecting, as Europe stabilizes, is that we will get back to growth in Europe, in particular, around new product introductions that are really important globally, but in particular, very important in Europe as we try to come up with converters that are faster and have a more compact sort of footprint. And that's really important in the European market where DCs and warehouses are smaller than what you see in the U.S. So, we have a road map to regain market share to drive our growth. Having said that, in the next few years, I continue to expect higher and more further growth in North America than in Europe. And to your question, I think the geographic exposure of our company over time will lean heavier towards the U.S., but for the right reasons. In other words, not because I think Europe is going to decline, I actually think we're going to reverse the trends. And as Europe stabilizes, we will grow, but it will be at a lower pace than what we're seeing in North America. And look, we've been a small public company that's a bit unusual in the quantum of exposure to Europe. So, over time, I expect that you will see Europe still being a very large and important contributor, but North America play a bigger role. And obviously, given sheer size today, we think Asia Pacific has tremendous room for growth to drive top line.
Ghansham Panjabi: Okay. And if I could just squeeze one more question, maybe for Bill as it relates to cash flow, anything we should keep in mind versus the initial guidance? And obviously, you're pointing towards the lower end of your EBITDA range for the back half of the year? And then also lastly, on CapEx for '26, can you give us a frame of reference as to how to think about that component?
William Drew: Yes, sure. I think it's pretty consistent, right, with what we went through last quarter. We did lower our year-end cash balance forecast to $65 million to $70 million, which is a little bit lower than what we talked about in Q3 -- sorry, at the end of Q2. And that's really driven by just the performance in Europe and APAC, right, the lower sales environment there. So, I think we are looking to finish in that $65 million to $70 million area in cash on hand, and that's just driven by the lower volume outlook. And as we think about next year, right, we do look to get back to free cash flow generation. So, I think for us, we're looking to generate probably $15 million to $20 million in free cash at least next year based on what we're seeing. And I think the CapEx piece of that would be about $35 million or so based on what we're looking at now.
Operator: There are no further questions at this time. I'll now turn the call back over to Bill Drew for closing remarks.
William Drew: Thanks a lot, Carly, and thank you all for joining us today. We look forward to speaking again after Q4.
Operator: Ladies and gentlemen, that concludes today's call. Thank you for joining. You may now disconnect.